Operator: Good day, everyone and welcome to the Gray Television’s Second Quarter 2015 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Hilton Howell, President and Chief Executive Officer. Please go ahead.
Hilton Howell: Thank you so much, operator. Welcome to the second quarter earnings call for Gray Television. On the call with me as usual is Jim Ryan, our Chief Financial Officer. Kevin Latek, who is usually on these calls, is unavailable today. We will each have a few brief comments and then answer any questions that you may have. First, we were thrilled with Gray’s performance this quarter and year-to-date. We achieved record revenue for the quarter and year of $143.5 million and $276.8 million respectively, a 34% increase for the quarter and a 39% increase year-to-date. These gains led to record broadcast cash flow of $57.2 million and $104 million for the quarter and year. This is an historic high for Gray Television. Likewise, we achieved record net income of $12.1 million and $17.7 million for both periods, which represents again an all-time high. We achieved record retransmission consent revenue of $36.9 million and $73.2 million, the highest of any periods in our history. And following our successful secondary offering at the end of March of this year and a strong free cash flow generation our stations and company delivers, we had $222.2 million of cash on hand on our balance sheet at the end of the second quarter, reducing our net leverage ratio to 4.8 times. We have made good use of the proceeds of our secondary and of the cash that our company has generated. On July 1, we announced five individual acquisitions, all of which that we closed at the beginning of the third quarter. First, we announced the acquisition of KMVT, the CBS affiliate and KSVT, the FOX affiliate in Twin Falls, Idaho. Second, we announced the acquisition of WAGM, the CBS and FOX affiliate in Presque Isle, Maine. Third, we announced the acquisition of KOSA, the CBS affiliate in Odessa, Midland Texas. Fourth, we announced the acquisition of the FOX affiliate in Wausau, Wisconsin to add to our existing operations in that DMA. Fifth, we announced the acquisition of KVTV, the CBS affiliate in Laredo, Texas to similarly add to our operations in the Texas Valley. We are extremely happy to add these operations, viewers and associates to the growing Gray Television business family. We continue to look at suitable acquisitions that fit our criteria of dominant television stations in attractive and growing markets. We are very proud of our acquisition track so far this year and hope to bring other acquisitions to bear in the second half of this year. All-in, we couldn’t be more pleased with our results. This past Friday, we also announced the addition of Beth Neuhoff to our Board of Directors. Beth is an experienced broadcaster and the CEO of Neuhoff Communications. Gray is blessed to have an outstanding Board of Directors and Beth will add merry to our governance structure. I would like to publicly welcome Beth Neuhoff to our Board of Directors. With that, since the success of this quarter says so much and really says it all, I will turn it over to Jim Ryan for his comments.
Jim Ryan: Thank you, Hilton. Good afternoon, everybody. I am going to first pre-apologize for a bad summer cold I have, so pardon me for my voice and maybe some occasional coughing. I am going to focus my comments specifically on the combined historical results for both the second quarter and year-to-date, because I think that’s most meaningful to everyone as we are comparing our ‘15 results to and giving effect to all of the acquisitions we have been doing through 2014. For the quarter, our core local was up 6% on a combined historical basis. National was up 4, right in line with our expectations for the quarter. The local and national core together was up 6%, which we feel very, very good about. Our retransmission revenue came in at $36.9 million, which is what we expected. Our political at $2.2 million was a little bit better than we had anticipated and that’s I think the best reference point is that the second quarter at $2.2 million is about $1.3 million over 2013 results. So, we are comparing off-year to off-year and again we feel good about that. Our operating expenses for television were up as we – up $6.1 million. Most importantly, and as we have talked about this on the last several calls that expense increase quarter-over-quarter is really being driven by the increased reverse comp, especially with our pay in CBS for the first time ever this year. A reverse comp was up in the quarter, $11.1 million. So, actually our core expenses, including reverse comp are down about $5 million and we are extremely pleased with that. Year-to-date, again, we are pleased with where we are so far. It’s tracking to expectation. As we said in our Q1 call, we had some tough comps in Q1 of ‘15 with Winter Olympics from last year, but on a year-to-date basis, again, core local up a solid 4%; national up 3%; retrans, a little bit over $73 million; political at $3.4 million, which is double the year-to-date run-rate of 2013. Again, we are encouraged by that. And our broadcast operating expenses are up $15 million, but again, that’s been driven by a $22 million increase as expected in reverse comp. So, on a year-to-date basis, on a combined historical basis, our core expense in TV, less reverse comp, is actually down a little over $7 million and we are very, very pleased with that. Turning to our guidance for third quarter and again focusing on combined historical. And here in our third quarter guidance for combined historical, we are also picking up for the first time the impact of the acquisitions Hilton mentioned at the beginning of the call. So, this is a full comparative. We are – it appears our third quarter revenue will come in around $145 million, which actually would be equal to 2014. And while it may have happened in the past, I am hard pressed to recall a third quarter in a nonpolitical year, where net revenue actually equaled third quarter of a political year. So, we are very pleased in our trajectory for third quarter. Core local growth is very – is appearing strong. It’s up 7% to 9%. Core national growth appears that it might be a touch better at 8% to 10%, but that slightly better run-rate is partly explained by political replacement, because obviously we do arguing up against a strong political from last year. And usually, our national advertising is one of the first things that gets crowded out a little bit when the political advertising comes in. Again, we are – we expect about on the high side, maybe $1.9 million of political. We certainly have always tried to be conservative in our political estimates. This is very difficult to predict. There certainly is some room for upside in the political as we move to the rest of the third quarter. Also looking out farther into the year, we have seen what I would characterize is some relatively small buys already being placed for later in the year, primarily issue money in a few states. It’s not really big dollars yet, I characterize it as probably still less than $1 million, but we are very encouraged by the fact that there is already some early buying for later fourth quarter and we think that bodes well for political late this year. And certainly, as we have talked in prior calls, our 2016 political is going to be exceedingly strong. As Hilton mentioned, our leverage ratio, if we net our cash on the balance sheet, calculated under the terms of our senior credit facility, would have been 4.8 times at the end of Q2 and that’s down a little bit as we had anticipated from Q1. We see that trajectory absent any further acquisitions to be going into the mid-4s by the end of the year and then significantly lower than that by the end of 2016. Our debt on the balance sheet at the end of the quarter was $1.231 billion. Our senior leverage ratio under the credit facility was at $2.51 million. We had CapEx in the quarter of about $5.5 million, $8.4 million for the year. We are still viewing our CapEx run-rate between $20 million and $25 million for this year. Our cash taxes for the quarter were $1 million. And we think for the full year, we are going to end up somewhere between $2 million and $3 million in cash taxes. Program payments were about $3.5 million for the quarter, $7.1 million year-to-date. And we think full year basis, that’s looking to be about $14 million to $15 million and the equivalent program amortization are about the same numbers. Quarter-to-date, again, retransmission revenue was $36.9 million, reverse comp was $17 million, leaving us a net reverse comp of $19.9 million. The stations we picked up at July 1 will be slightly additive, to the numbers we have already published in our investor presentation for both total reverse – total comp, obviously, with increased reverse comp as well, but most importantly, our net retrans at a full year basis in our investor presentation we have said it was probably going to be about $78 million. Now, with the additional acquisitions, we are probably up around $80 million. With that Hilton, I will turn the call back to you.
Hilton Howell: Great. Thank you, Jim. Operator, let’s open up for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Aaron Watts with Deutsche Bank.
Aaron Watts: Hey, guys. Thanks for taking the call and Jim, I will try to take it easy on you today. Hi. First question just on kind of your performance moving from second quarter to the third quarter. I think you mentioned that national might be ramping up a little bit because of the political displacement factor. Anything notable on the local side that is helping kind of boost your performance there?
Jim Ryan: I characterized that more on locals, a little bit more broad-based. We certainly have are going against a reasonable amount of political from last year in Q3. It was about $23 million. So, that’s a part of it. I don’t want to point to any one single thing, I think I described it as just a lot of base hits and doubles and nothing really kind of homerun-ish just a good solid off year Q3.
Aaron Watts: Okay. And on the auto category, it looks like it was down slightly, how do you kind of reconcile SAAR being very strong right now, yet the auto category not really showing growth, is it just the cars are flying off the lots and the local dealers…?
Jim Ryan: I think that’s part of it. And with the SAAR going up, I mean certainty they are earning credits at the local level. And I don’t know exactly how long they have window, they have to use those credits, but I would think with the cars moving so fast, they are probably savings – they could all be saving some of those credits they are earnings now for down the road when they needed more.
Aaron Watts: Okay. And then one last one for me just on M&A, you guys have obviously been more active than others recently and what I would characterize is kind of a smaller acquisitions, what do you think is kind of holding back larger scale M&A right now, both for Gray or the sector as a whole and what do you think kind of jolts everyone back into considering larger M&A?
Hilton Howell: Well, let me – Aaron, let me start with that. This is Hilton. The answer for Gray, which is the only thing that I can speak to, is it’s not holding – nothing is holding us back. With regard to the industry, every company in our industry has different issues and different opportunities and they would look at things differently. There has been a lot of controversy out. The impact of the repacking and everything that’s happening with the FCC, I think that’s very company specific. That is something that we have publicly said that it is extremely unlikely that Gray will participate in, because our stations make a lot of money. They have got tremendous cash flow. And they have an enormously important role in their individual communities. And so Gray looks for stations and groups, but it’s just hard to find them that we can add to our portfolio. So absolutely nothing that thing is holding us back. Every other company will have to answer that for themselves. So that’s about all I can really speak to.
Aaron Watts: Do you feel that a material type of transformative transaction for Gray would be beneficial just given the kind of changing landscapes throughout television right now?
Hilton Howell: Well, I mean I don’t know exactly what a transformational merger means. I actually, I will probably do. And the answer is that it actually Aaron depends on who the partner would be. I think that Gray is now a sufficient vertical scale in its markets to stand on its own for the duration. And I think that horizontal scale is something that we should continue to work on. And I think net with of all of our transactions that we announced the 1 July, we are in 47 markets out of 204, 205, 206 something like that in the country. And out of those 47 markets, we are not the dominant provider, we are [indiscernible] near it and we think that gives a tremendous amount of staying power and gravitas. And I think that our retransmission concerned negotiations this prior year prove that. And so we feel good about where we are. There’s a lot of assets that are in this business and people may be deciding whether or not they want to continue to have them and run them or not. And the one that I will say is that Gray is a permanent player in this space. And we are interested in talking with anyone, but I think that they have a sterling team, we have sterling assets and we know how to run a TV station. And so I would be remiss if I said that we weren’t in discussions, they occur all the time. There are a few obstacles to things happening in the next two or three quarters. For other companies, there is zero standing in the way for Gray television because the thing that makes us the ones that have a broadcast operating business that coins money and serves its community. And those are television stations that are not going to be turned back to the FCC. So we are ready and able to move, we have demonstrated our ability to move quickly and we have the capital and the assets and the access to capital to make those potentialities a reality.
Aaron Watts: Understood. Helpful insights, Hilton. Thank you.
Hilton Howell: Thank you, Aaron.
Operator: Thank you. We will take our next question from Lance Vitanza from CRT Capital Group.
Lance Vitanza: Hi, I have a couple of questions, the first is on the core national guidance, I understand reverse crowding out, but if you compare that guidance to what you actually achieved in 3Q of ‘13, this is much stronger, it’s really on the same ballpark, so my question is what’s driving that, is this a stronger ad recovery than we saw back in 2013 or is it more a question of better execution on the...?
Jim Ryan: Well, our ‘15 guidance for national includes all the acquisitions completed to-date, I am not sure what you are looking at for Q3 ‘13, but if it’s our historic as reported and it’s obviously doesn’t have all the impact of acquisitions in it.
Lance Vitanza: Just so I am clear though, I thought when you said that the growth and rates in the guidance, that includes you are comping off of it on a combined basis, are you not?
Jim Ryan: Yes. And so that combined basis in Q – I thought you said Q3 ’13 maybe you said Q3 ’14, I misunderstood you.
Lance Vitanza: No, I did. What I am saying is you are growing more quickly than the old legacy business was growing in Q3 ‘13. The last time that you had reverse crowding out as a benefit. So I am making the point, I guess I am trying to understand, it’s not just – I mean it occurs to me that you are doing something better than you were doing in 3Q ’15, because the growth rates are higher. And if I am hearing you right, it sounds like you are saying that there is something – you are outperforming on basically on the properties that you have acquired?
Jim Ryan: There is some of that. And I think that goes to the properties that we have acquired and we felt – and then as we acquired them we thought there was some potential there. I think it could be also depending on the market on sort of the relative performance scale we may be picking up a little bit more share in some markets as well, that’s helping boost the overall number.
Lance Vitanza: Okay, thank you. So on the reverse comp side, if I heard you earlier in the comments, $17 million of reverse comp in 2Q, is that a flat fee or does that number vary with your retrans and in either case, how long should we expect that $17 million to remain the run rate?
Jim Ryan: It depends on the network, how the fee is worked. A couple of networks have a fixed fee. A couple of other networks have a hybrid where there is a “fixed fee” component, but then the fee agreement has a variable component as well. So but in our case, as you can clearly see in the existing investor deck where we laid those numbers out for the next – ‘15, ‘16, ‘17 regardless of the network and how they choose to do their individual fee, we think our run rate on a net basis is roughly 50-50 over the next several years. Now the $17 million will – that you mentioned will step up a little bit in Q3 and Q4 because, obviously, the additional acquisitions we have made, but like I said earlier, on a full year basis, we originally had expected about $78 million of net at the end of the day and that’s with the additional acquisitions, they were relatively small markets, but that will boost the number a little bit higher to about $80 million.
Lance Vitanza: Okay, that’s helpful. And then for Hilton, just regarding transformational M&A, I gather you get a lot of questions about that and there is perhaps some interest in that. But I wanted to make a comment that in Q1, you were the top TV performer in terms of core revenue growth and so forth. And with the numbers you reported today, I would be surprised if you weren’t the top performer in 2Q and the guidance for 3Q suggests you are doing well again. So, I would just say that literally the last thing I would want to see is for you to be involved in a transformational transaction, because you are already where we would want you to be and so I don’t know what you would be transforming into. It’s hard to imagine that you would be transforming into something better?
Hilton Howell: That’s the nicest comment I have ever gotten in one of these calls. I will tell you, yesterday, I was in South Bend, Indiana and I talked to all of our employees at WNDU, our station there that we purchased a number of years ago from Notre Dame University and I think the team that we have in place, the management that we have in place are truly extraordinary. I am so proud of what they are doing on an individual market-by-market basis, because no matter how much, Jim and I have been working, everybody else at that level to individual stations and their performance and what they do on a local basis, that leads to what we have and what we reported. And I am enormously proud of the corporate culture that we have created that’s in Gray Television, because we invest a great deal into our stations, we invest a great deal in technology, and we invest a great deal into content. And I am very happy to be able to consistently report that those investments pay off for our shareholders. And when we did our secondary at the end of March, we showed our numbers and despite being an invest and build broadcaster or maybe because invest and build broadcaster, likely because, we have the highest EBITDA of any publicly traded comp in the country. And we would like to keep it that way as best as we can. However, our industry is changing and we have to stay cognizant and confident of what’s happening and what’s moving and every one of our guys works 24/7, 365 and a lot of people say that but ours really do and they have path and they are going to pay attention to how the industry shifts and changes, but we will never lose sight of what we owe and are obligated to do for our shareholders of this company. And I thank you for your comments.
Lance Vitanza: Thanks a lot.
Operator: Thank you. We will go next to Marci Ryvicker with Wells Fargo Securities.
Marci Ryvicker: Thanks for anyone looking at their screen as I am sure you can see that media stocks are down big today. It’s dragging Gray down. And I think it’s coming off the commentary from Disney on pay-TV subs. And so one of the questions I am getting is in terms of reverse comp on the affiliate side, if you are paying a fixed fee by market, what happens if your pay-TV subs go down as well that you are getting less retrans revenue but still paying the same amount or is it the case that given your broadcast, you are a little bit safer, because you will be included in all the skinny bundles, so your pay-TV subs may not go down as much as something like cable?
Jim Ryan: Marci, I completely agree with the second half of that comment that yes, given that we are operating in Big Four affiliates in strong new stations that we will be in skinny bundles. So, we are not distressed by that. Will there be over time a little bit of cord cutting? It is certainly, but again, we think given the size market we operate in and the high-quality news operations, we don’t – we think we are probably a little more insulated on that than maybe a major metro market might be. So, again, we are not overly concerned. And certainly, the retrans agreements themselves are generally 3 years long. So, there are definitely opportunities to reprice and adjust not all that infrequently. So, we are pretty comfortable with that landscape over the next several years.
Marci Ryvicker: Okay. And then can you remind us how many stations or what percent of your markets you have number one or number two ranked new stations? And then on top of that I believe that the number one or number two ranked new station usually gets over 50% of the political revenue in a market?
Jim Ryan: It can, yes. And Hilton is right, in the 40, 47 markets, we are in currently, it will – it’s all but two that we operate a number one or a number two station.
Marci Ryvicker: Okay, great. Thank you.
Hilton Howell: Marci let me give you one example though on that number three station, because I think even that exaggerates it. One of them is Albany, Georgia where we have operating out of our Tallahassee station, the CBS. I think the FOX and the CW and I apologize we are not being able to put that out there correctly. Within that DMA, we ranked as number three, but we used to own the number one, WLD, which is now a Raycom station. And the FCC forced us to relinquish that market, but we were able to bring service to that community out of our station in Tallahassee that keeps our cost down that is dramatically profitable. And so with regard to market ranks, another thing to keep in mind about the quality of what we do, a lot of the places where we report a number three, it’s really not a number three, I mean, it’s a unique opportunity where we can make outsized profits and actually deliver outsized public returns to the viewers in those communities that didn’t used to have that. And so I would argue that we are number one, number two everywhere but that’s because of some of the unique issues that accompany our number three stations.
Marci Ryvicker: Got it. Thank you both very much.
Operator: Thank you. We will take our next question from Jim Goss with Barrington Research.
Jim Goss: Thanks. I have got a couple of questions. First, as you have gotten somewhat bigger and your platform has gotten more extensive, is there any shift in the appropriate size of markets as your scale higher?
Hilton Howell: Let me answer that, Jim and then I will let you come back around to that. I think there is a lot of discussions about market size by companies. There are some companies that come in and say, we only want to operate in X market and above. My personal opinion about the way we operate if we are able to make the profit margins, the EBITDA margins and yet deliver the service that we deliver in our smaller markets. When we get into a bigger market where there is a lot more cash flow and we operate in the same way, we are going to be very successful. Sometimes, I think it’s harder for a big market group to come into smaller markets, but I think Gray has the potential to do that. Now, let me say that, that is not the strategic vision of our company, but by the same token, I would never preclude that. Gray has the capacity to grow into one of the, if not, the dominant television broadcaster in this country and by that I mean also in larger markets but by quality. We are passionate about this business. We believe in it and we believe that we are in the period of really a new golden era of what we are doing. And technology is helping us. And we make more money now on our digital platforms than we ever got in the old days of reverse comp. And so not reverse comp, but compensation from the networks. And we just see so many different silver linings to apparent clouds. So, Gray does not limit itself by market size. We do limit ourselves by quality, but there is also an issue of competition. If you just go through the market stats, as markets gets larger and larger, you don’t typically see a station or group of stations that have market shares that we are accustomed to. And that’s something Gray will have to learn if it ever has an opportunity to grow larger markets. We look at each deal on a station-by-station basis. We had no ego invested in the process. We have a desire to build our company, to enrich our shareholders and to serve our communities because we think those are all three things that work intimately together. And so we look at every deal and we will see, but broadcasting is a sticky business with its viewers. And so we look at everyone and so don’t think that Gray wouldn’t go to a larger market as long as it was something that was within our comfort zone. Jim Ryan made a comment, either last earnings call or the one before or maybe both. But at one point I think he worked at the number 38 market size in Grand Rapids. And from his own personal experience, there is really not much difference between a market of that size and our largest market, which is currently Knoxville, Tennessee. And so we have the ability to look up and to look down. The one thing I am really proud of is that we have created because of the talent in our company and it spread all through the United States, the ability to make significant money in a community as vibrant to get as small as North Platte, Nebraska and Presque, Maine, a great addition to our portfolio. And those stations served their communities and they make handsome returns for what they are doing. And if we can do it in those markets and we can double the quality, which if you show up in any of our markets just turn our television stations on, it looks like anything you can see in the top 10 markets in this country. And you – I have a lot of confidence that I think is well founded in fact an experience, an ability to get better. We are not going to be at the top of them, but we can get larger than 65 or 64.
Jim Goss: You have always had an affinity to or an inclination to look at capital cities and college towns and there used to be a company called Capital Cities Communications has eventually bought ABC that seem to have a pretty good record along those lines, I am wondering if – are you proactively going after some of those markets in a sort of initiate or try to initiate discussions where you can, what sort of process do you go through?
Hilton Howell: I will say this. We have a strong management team and we go through the inventory stations that are out there. And I hate to call it anything other than it is, but it’s really a shopping list. And it’s some of the best stations in the country. Some of them are goods, some of them are individual stations, but all of them calm with a great deal of pride of ownership, respect for the business we are in and candidly allow for the business that they are in. It is a delicate process, it’s a cording process for Gray. And we look at ourselves with regard to the existing markets we have and I will refer to those in every one of our videos as being stewards of those stations because that’s how I view it, and that’s how we view it. Now, we create a ton of free cash flow which is what our investors really care about. But at the end of the day, it’s the substance that people put out on the individual markets that creates that free cash flow. And so we have a strong and very articulated shopping list and we work it everyday. And we are sometimes successful and sometimes we fail. I think, we have demonstrated to the market that we are discipline in our pricing because when we started this round of acquisitions, we have actually been able to do it and everyone has been accretive it will continue to be, because that allows us to continue to build broader scale of this operation. And I am really proud of what our team has accomplished. So we do have a very strong identification process and a great shopping list. I just wish we can get all of it.
Jim Goss: Alright. Well, one risk factor I would like to bring up. Over the years, broadcasting – television broadcasting, in particular, combination broadcasting cable has been able to maintain its share of total domestic ad spending pretty well. The latest encroachments have been Internet and now digital. Now I am wondering if there is some risk with streaming and over the top that there might be some potential shift in your ability to maintain that the industry, in particular, an ability to its share of total ad dollars since they can’t really grow too much out of the line of GDP?
Hilton Howell: Well, let me start with that and I will let Jim follow-up with me when I am finished. I have – I have grown up in this business and it’s the biggest chicken, little business I have ever studied. I mean, whether it is the remote control or cable or anyone of the other different technological challenges, all of the people that were predecessors of mine in any company whether is it capital cities A, B, C or have to deal with question just exactly like that. It is not to make light of that question because we have seen the power of technology and how it’s changing our world everyday. But something I mentioned two quarters ago, we commissioned SmithGeiger to study what we are doing. And they looked at all of our stations by regions and then interviewed literally thousands of people per region in terms of their view of our stations and what we did. And their results were presented at our General Manager’s meeting at the end of February of this year. And the results were really quite stunning. Our individual websites, our digital presence, our apps, great digital media that’s out there, are the single most viewed local digital or mobile product in any of our markets by region. And in fact, the only thing that beats them are Facebook, Google, YouTube and what I really don’t understand, but this is what the results showed, was weather.com. Those four and in every one of those regions, we were the dominant number one ahead of newspaper, ahead of our competition, of everything. And I think that a lot of that is due to the talented team that we have that made us first. We were the first broadcast company in the country to have an Apple app that you can download by market across the country. We were the first broadcast company in the country to have it for Android. We were the first one to have it for the Kindle store. We have fabulous digital properties, and we make more money on that than we ever have before. Now, so let me turn to your question. Over the top, all of the rest of it because of the quantity of what we have in the portfolio on an individual microeconomic basis, I don’t think it’s a big challenge for Gray Television. And I think that we will have some adjusting to do, but I think the power of the content that we create is going to see us through in a very solid fashion. And so I am not really concerned about that. I don’t see any bundle or anything else being capable of this lodging us from where we are. And in fact, I see the local competition in each of our markets getting less, not getting higher. 10 or 15 years ago, the biggest competitors that we had was the local newspaper. And it is the odd situation where that is currently the case. But your comment is a legitimate one that we battle all the time because our competition is everything from Google, all the way down the chain. And I just wish that our regulators would look at it that way and the FCC would understand that we have to continue to evolve because there are many paths to making this business even better. And we still remain as a local television station, the single best avenue of reporting and news coverage and I think it is vital to our communities and I would hazard to guess it’s actually vital to our democracy. It’s one of the reasons that we launched the Gray Washington, D.C. Bureau was to bring real news to allow our legislators to talk directly without filter to their voters and back and forth. And it has been a stunning success for us. We have seen it in our ratings. We have seen it in the amount of product Washington Bureau puts out, and it’s irreplaceable. And so we feel good no matter what the technology comes out.
Jim Goss: Thanks. Your passion is showing through.
Hilton Howell: Thank you.
Operator: Thank you. We will take our next question from Barry Lucas with Gabelli & Company.
Hilton Howell: Hi, Barry.
Barry Lucas: Thanks. Good afternoon, Hilton. Good to talk to you. A couple of quick odds and ends. On auto could we talk a bit about how that’s actually pacing in Q3 given the strength in national?
Hilton Howell: I think, Barry, right now it’s a little bit better how it will translate for the whole quarter, I think it’s just a little too early to tell. But we don’t – it doesn’t seem to be going in the wrong direction for us in general. Our pacing for Q3 again we are encouraged and it’s reflective in the local and national growth rates on a combined historical basis, but where July appears right now I am it’s pacing in healthy upper single-digits. August is similar. September, local and it’s still pretty early for September remember it’s only the first week of August. But local is up pacing right now, a nice solid mid single-digit range and national is doing a little bit better. And again, it’s given the relatively earliness in the quarter that local in September is what we would expect and we think it will – and obviously, it will pick up a little bit as we get closer to really selling September. So, we are pleased with what we are seeing.
Barry Lucas: Okay. So, you are saying what it was up in all three months?
Jim Ryan: It felt like it picked up a little bit in July where it will end up for the whole quarter. I think it’s a little too early, but it doesn’t – right now it doesn’t feel like it’s – right now it’s kind of flattish year-to-date or thereabouts. And it doesn’t seem to us like it’s I am trying to think of, eroding. It’s not going south. If anything, third quarter will look a lot like the first part of the year, but it has to potentially get a little better.
Barry Lucas: Great. Jim, as long as you are I don’t want to keep you on with your cold here, but you did outperform on the expense side when you strip out reverse comps. So, where are those savings coming from?
Jim Ryan: It’s a little bit across the board. We did have a reasonably good quarter in our health and welfare plan we are self-funded so that there is some volatility there. And so, Q3 was relatively good. We have seen some – I am sorry, Q2. Our payroll was down a little bit year-over-year, that’s partly reflective of a one-time charge we took last year, our non-cash charge when we changed our vacation policy to a paid time off policy. So, that’s certainly helping a little bit, but also base payroll is done, I think that’s just again partly reflective of working the opportunities we have seen – we saw in the acquisitions that we were making in ‘14. We are saving a little bit in national rep commission, because we are not, obviously, without the political, you don’t have to pay. Most of political comes through the national rep. And we are not going to go pay those commissions on the political this year, so that’s certainly helpful as well, but Barry, really it’s – as I described it, I think it’s on the revenue – in answering a revenue question earlier, it’s a lot of playing old-fashioned singles and doubles and grinding it out, nothing – not any one single company-wide initiative that’s really driving it, it’s just everybody at the stations working hard to try to be as cost efficient as they can.
Barry Lucas: Great. Last time for me and Hilton I don’t want to reign on the parade at all here, especially given internet up 4.9%, but shouldn’t that number be a little bit stronger?
Hilton Howell: Well, we would certainly like it to be and I think the answer is yes. But I think it’s going to come. We had a few flat falls that we have fixed. And I think as you will see that number growing as we go for quarter-to-quarter, but we are still very proud about this.
Jim Ryan: And Barry as we said before this year for that line item is kind of the regrouping year for us. We had the last few years some very, very strong growth. And we are just – we are as Hilton said just kind of redoubling the efforts to take it now again to the next level and push it forward. And we have had, if you track it back far enough, I think you will see a couple of other times where it’s had a growth spurt, leveled a little and then sprinted again. So, we are gearing up to push it forward again.
Barry Lucas: Great, thanks very much. Feel better, Jim.
Jim Ryan: Thank you, Barry.
Operator: Thank you. We will go next to Leo Kulp with RBC Capital Markets.
Leo Kulp: Hi, good afternoon. Thanks for taking the questions. I just have two quick ones. First, can you provide an update on your Big Four subscriber count I think the last one I saw was 9.6 million?
Jim Ryan: Of the five acquisitions, we will increase that a little bit. To be honest, I don’t have that immediately handy, but given the size of the markets, it’s not going to change that dramatically. And I will get this wrong, I know I will, but it’s like Presque Isle, Maine has 15,000 subscribers or something. It’s just indicative of the market. So, it will move it a little bit, but not certainly nothing at a material level.
Leo Kulp: But you are not seeing an erosion on your sort of underlying base?
Jim Ryan: No. We are really not seeing anything significant as I said earlier. Occasionally there is some what appears to be cord cutting or some times it’s more of just changing between one provider and other, but again, given our size markets and our very strong news operations, we think we are probably a little bit more insulated than maybe a big metro market.
Leo Kulp: Okay. And then, any thoughts on how the DIRECTV AT&T merger will impact your retrans fees?
Jim Ryan: The simple answer is we kind of worst case we don’t think it will really impact things. There is the possibility that it might actually be helpful to us. It’s still a little unclear to us exactly how that’s going to – how they are structuring that and at the end of the day, which set of contracts will apply or is it any more status quo of the AT&T side as that static and the TW side is static. It’s a little unclear to us, but we certainly are not expecting a negative out of it.
Leo Kulp: Got it. Thank you.
Operator: Thank you. We will go next to – we have a follow-up from Marci Ryvicker with Wells Fargo Securities. Marci, your line is open. Please check your mute function. Hearing no response, we will go to John Huh with Wells Fargo Securities.
John Huh: Hey, guys. Sorry, I think that was me on Marci’s line actually. I just had a couple of follow-ups. Jim, given that you closed a bunch of deals on July 1 are there any one-time deal costs embedded into your Q3 expense guide?
Jim Ryan: There is a little bit, but really some of that, I mean, given the actual size of those deals, and it’s not going to be a lot. They tended to proceed actually quickly and without – and very cordially I would phrase it as and so unlike maybe a big deal that takes a lot of legal time to get it put together, these were pretty straightforward deals. And so there is a little bit, but it’s baked into the number we put out there.
John Huh: Okay, perfect. And then just on your Q3 political guide, it seems like it implies a sequential decline from Q2. I know you said you are staying on the conservative side there, but it’s little bit surprising given the way that political usually tends to trend and given the stations you are adding in the quarter, so like any color there would be helpful?
Jim Ryan: Yes, I mean, really I mean the number of – the range we put out certainly we would hope we were at the high end or a little bit above it. And obviously, there is certainly the opportunity for political to skew further up. I can’t really cite anything, in particular, John, I would say well it was X thing in Q2 that boosted the number up. I think this is kind of is what it is right now, but certainly we are not bashful in taking political orders. So if the opportunities are there, we will always try to get more than our fair share.
John Huh: Got it, that’s it for me. Thank you so much.
Hilton Howell: Well, let me just add one other thing just as an issue of reinforcement. We really get the highest political revenue per household of any station group in the country and it’s because of what we put on the field and back in that. I am also proud of what Jim does because it’s hard to predict political, but it’s not impossible because it changes all the time depending upon polls, leads and contested races. So it’s a little hard for anyone sitting in Jim’s position to project political. But I think it is fair to say that we think this whole process is going to be extremely bullish for us and for industry. I think on a percentage basis we are going to get more than our fair share of it because of what we do. And so I think it’s going to be a huge upside and I think that it’s going to expand dramatically. And I expect that we will start seeing increases in the third and fourth quarters just based upon what we have got going on and that’s more than the presidential election here. I mean, we have got competitive senate races, competitive governors races, and they just simply have to be our stations to get elected in their communities. So we are very bullish about that for the next six quarters.
John Huh: Great, I appreciate the color.
Operator: Thank you. [Operator Instructions] We have no further questions in the queue. I would like to turn the program back over to Mr. Howell for any additional or closing comments.
Hilton Howell: Thank you very much, operator and thanks all of you for being here this afternoon. Thank you for your interest in our company. And thank you for your interest in our industry. We are excited about where we are and excited about where we are going. So we look to talking to you next quarter or if you have any questions you know how to reach us, give us a ring. Have a great afternoon. Thank you.
Operator: That does conclude today’s call. Thank you for your participation.